Xavier Huillard: [Interpreted] Good morning to you one and all. Thank you for taking part in this presentation of our 2020 full-year results. You should be seeing the slides in real-time on your screens. And, of course, you can also find them posted, full presentation posted on our site. We’ll be using that throughout our presentation. Christian Labeyrie is at my side. The 2 of us, we’re doing this together. We’re at the headquarters in Rueil-Malmaison. I’m with Christian Labeyrie. In front of me, I have the Executive Committee from VINCI, particularly the business line managers who’ll be able to field questions later that you may have. Now, first, a few slides to begin with. First of all, an illustration of the very large number of solidaires actions that we’ve been rolling out since the beginning of the health crisis. Here, you can see this. This is a food truck distributing free hot meals to lorry drivers. We know that at one time, lorry drivers were only able to access the restaurants on the sides of our motorways, the rest areas. These are very popular. And we’ve got a lot of very positive messages from them. Many thank-yous voiced by these lorry drivers. They really felt that we were doing something for them. Next slide, this is just goes to show that our infrastructure, in particular, our airports were and still are in the front lines to provide transportation of essential goods, medical equipment, and now, vaccines. These were the first deliveries of vaccines we’re seeing at the Belgrade Airport in Serbia. The next slide here, it’s an artist rendition of the Motorway Section D4 in the Czech Republic. This is an operation which will be the first motorway PPP in the Czech Republic. We are the preferred bidder there. The Czech Parliament should be deciding today on final grant, final award, that we’re able to sign probably next Friday. This is a wonderful success. Next, a picture, which is an illustration of VINCI Energies’ acquisition a few months ago of a company called EWE Offshore Service & Solutions. They were a service provider in project development, engineering and also maintenance management of offshore wind farms. Their expertise is very sophisticated; firstly, regarding offshore operations; furthermore, electro technology, particularly high-voltage electricity transformer stations, which make it possible to bring this electricity to land. Next, very interesting thing I’d like to bring up, experiment we’re doing with ElectReon, a company. The idea is to experiment with systems for induction charging via road lanes. It’s a very short section right now, about 10 meters. If it works, this can be experimented on longer stretches, and then possibly rolled out to specific sections of motorways, such as logistics areas or port facilities i.e., anywhere where it’s necessary to help light vehicles and lorries, do not have to be weighed down by batteries i.e., they can get recharging while they’re driving using induction technology, which makes it possible to do contactless wireless charging. You may have those in your cell-phones already. You just place yourself on a pad, and it can be charged wirelessly without necessarily have to plug it into something. Next, we have an artist’s rendition. This is a beautiful contract of roadways and about 20 bridges in Australia, around and toward the Sydney Airport, €900 million to be done as a joint venture, 50/50 with our partner, John Holland. Lastly, we have a picture here, an artist’s rendition also of VINCI Immobilier, what it’s developing right now for the athletes’ village. This is for the 2024 Olympic Games. It’s a facility being set up in a brownfield; 6.4 hectares is its size. We can say that idea is to provide this to the Olympic Games 2020, about 6,000 beds for the athletes, a 33,000 square meters of service areas and other areas during the games. Afterwards, this will all be restructured, reconfigured after the games are over with, so that we can be producing office areas, store space as well as apartments and a new neighborhood, with a very strong attention being paid to environmental considerations here, impact on the environment as well as using biosourced materials. So that was just to whet our appetites, talk about our projects. Let’s talk now about 2020. As you know, we were very hard hit by the health crisis. It impacted all of our divisions, every single one of them. But you already know, I realize this, the intensity varied quite a bit from one business line to another and also from one geography to another. Starting in mid-March, business impact was almost immediate and very large scale. Our number 1 priority, very clearly, was to protect our employees. I do believe we were fairly good at protecting them. We did achieve this. On that point, I’d use the opportunity to really pay tribute to all of our employees, their sense of responsibility, the quality of social dialogue, without which our achievements wouldn’t have been possible to weather this crisis. Motorway traffic plummeted by 80%, so during the first lockdown. Passenger traffic in our airports fell to basically zero. Works activities reacted quite differently from one geography to another. Things halted almost completely in France for at least 6 weeks at the work sites. However, activities were almost normal in several other countries, specifically Germany. In addition, there was a phenomenon that has already impacted our property development activities. A lot of government administrations, almost all government administrations were closed, especially the government offices that are in charge of granting work permits in the various administrative areas. Then as of May, we resumed our business at our work sites. They’re now operating almost completely normally. Motorway traffic, starting after the first lockdown as well as airport traffic began ticking up gradually, recovering gradually, reaching a peak midway through the summertime. Regarding motorway traffic, this peak was very near usual traffic levels we had in 2020 at the same time of the year. Unfortunately, everything started going the other direction after several subsequent waves of the pandemic and a lacking coordination among the various countries, particularly European countries, regarding restrictions on movement and quarantine measures. For all these reasons, we’ve seen a significant drop by 10% in our annual revenue versus the previous year, and a 62% drop in our net earnings to €142 billion. Now, 3 points. Order intake was good, very good in fact. The order book is at a record level, €42.4 billion. Next, we have to also observe, and this is really quite extraordinary, the resilience of activity and operating income from VINCI Energy. This really makes us feel comfortable with our stepped up strategy to develop these business areas. Lastly, the excellent situation of our free cash flow, very near its record level of 2019, which necessarily mathematically means a reduction by €3.7 billion in our net debt over the annual period. This is all thanks to very stringent and strict management of both OpEx and CapEx. Furthermore, thanks to a lot of cash in from clients, particularly also our government clients, and especially, I’d mentioned in most recent weeks, in the last weeks of the year, cash in from clients. We saw strong improvement in free cash flow for VINCI Contracting plus VINCI Immobilier to the tune of up €1.5 billion, broadly enabling us to offset the deterioration in Concessions’ free cash flow, which was down €1.8 billion due to the significant drops in traffic, which I already alluded to and we’ll come back to the point in a moment. This is Slide 13 now. The way the countries reacted to the crisis, well, we can see this very well depicted on Page 13. France, we see a drop of 13%. The rest of Europe, Western Europe and Central and Eastern Europe saw a drop broadly of around 7%. South America went down substantially as well. However, on other hand, North America sees an upturn. Africa, right now, things are more uncertain there. Another point I’d like to observe, a contracting business done outside of France reaped the benefits of these differentials between France and outside of France. So outside of France business was 53% for Contracting, 53% versus 50% Contracting business outside of France in 2019. Now, let’s move into further detail broken down by specific business areas. VINCI Autoroutes, if you remember, got a very good start of the year up until March 17. It was up on 4.8% growth in traffic for VINCI Autoroutes traffic, then plummeted by 87% for light vehicles and dropped only, so to speak, by 36% for heavy vehicles, which turned out to be more resilient. These are the figures after the first lockdown. Then there was a resumption, a gradual resumption in traffic. As I mentioned, traffic reached almost normal levels compared to previous years in Q3 in July, before then weakening once again in the last quarter of the year due to renewed restrictions and curfews as well as other measures of that ilk. So all in all, we’ve finished the year at a 23.8% drop in light vehicle traffic and heavy vehicle traffic held up much better. It was only down 6.5% for the year. Nevertheless, there’s a great deal of good news. First of all, light vehicle traffic is just waiting with bated breath to resume, so to speak. We saw when restrictions were lifted in summertime, it picked up quickly. Furthermore heavy vehicle traffic, as I mentioned, supported very much by the fact the economy resisted quite well. Furthermore, there’s been exponential increases in e-commerce. Next, we are public service providers. And as such, we’ve performed very well, ensuring faultless continuity of service. Furthermore, we’ve shown very clear adaptability to the very strict health rules. Our employees have been fully onboard and committed. VINCI Autoroutes and throughout VINCI, I would like to use the opportunity once again to thank each and every one of our employees. VINCI Autoroutes will have continued to be one of the main project owners for France, when it comes to public works, €757 million to €750 million invested in 2020, specifically, continuation of work on the Western bypass of Strasbourg, which will be delivered in the last quarter of 2021. Last point and most importantly, this crisis has confirmed that roads broadly, not just motorways, but all the roads network, is the vital network for our country. I’m sure you know 9 trips out of 10 and 3 trips are commutes to work out of 4 are done by the road. The knock-on effect is that we feel that France can only comply with the Paris accords, if very quickly we can decarbonate road traffic, as we’re trying to do, specifically in our motorway network. We’ll come back to the point during your questions, if you’re interested. VINCI Airports, the advantage is that this is sort of a leading indicator of the crisis. We have airports located in Cambodia as well as Japan. So VINCI Airports was better prepared than others, thanks to that, for the almost shutdown of air traffic starting in mid-March. Next what we saw was a slow uptick in air traffic, mainly domestic traffic, then Schengen traffic starting in June. And then, as in motorways, there was a plummet again in Q4 due to renewed restrictions. However, some glimmers of hope in other geographies such as toward the end of the year, the Americas, Japan and Brazil. These are geographies where you have a large proportion of domestic air traffic due to the fact these are large countries and the distances that must be flown. Three things I’d point out with VINCI Airports. First of all, great deal of work’s been done on OpEx and reducing CapEx during the second half of the year. And in terms of refinancing setup, particularly for Gatwick and Lyon, all of these quick actions have made it possible, first of all, to contain impact on EBITDA and also to ensure resilience liquidity, overall resilience of this business activity, which as you well know, will take time to get back up to pre-COVID levels. The second point we’d observe, we continued since the beginning of the crisis, the most strategic works at Sihanoukville in Cambodia; and Belgrade in Serbia; Itami, Japan; and Santiago de Chile. We also, in France, as soon as we could, which means even before the end of the lockdown in France, we resumed work on the Rennes and Toulon runways, which were some of the first VINCI Construction worksites to resume business in the springtime. Lastly, a glimmer of hope, the rebound in domestic traffic in China. You saw this in the newspapers. It may be a little less true today, but a few weeks back, domestic air traffic in China had actually gone above the previous year’s level. And a second example, the Dominican Republic, in our business there, we’ve seen that air traffic very quickly started looking good again as soon as restrictions were lifted. The point being, in our opinion, very clearly, there people have a strong desire to travel. And we’re going to see this evidenced in our networks after the health crisis. Now Concessions development, 2 beautiful examples of success that show the momentum and our development of Concessions and our ability to pull together, just by synergy from Concessions and Contracting business lines. First of all, I’d allude the signing of the first motorway PPP in Kenya, which will be generating approximately €900 million worth of works at VINCI Construction businesses. Furthermore, we’ve been designated preferred bidder for the first Czech Republic’s PPP, I already alluded to it. This should be signed and closed, in all likelihood, next Friday, a week’s time, after getting the go-ahead from the parliament today. The work in the Czech Republic will be conducted, among others, by Eurovia. In that country, it owns a very strong subsidiary, which has already proven itself in a previous PPP in Slovakia, neighboring country to the Czech Republic as you will know. Now, to talk to you about contracting, VINCI Energy to begin with, I told you already, exceptional resilience at VINCI Energy. They especially did a good job of things in Europe as well as North America and also reached full levels of activity in France in the second half of the year. VINCI Energy, in spite of the crisis, was able to continue moving forward with its strategy of acquiring businesses, particularly getting a significant foothold in Canada, specifically in Quebec, bringing into the fold Transelec Comm Inc., with around €200 million revenues per annum. This is expertise focusing mainly in construction as well as maintenance of electricity grids in Quebec. Another highlight, you’ll see on the slide here, international business at VINCI Energy now representing 57% of its total, which is very much, very much in sync with the strategy we’ve had, of course, for several years now. I’d use this opportunity, we’re talking about energy, I’d like to say to you regarding [ACS IS] [ph], the process is underway. I have nothing to add and I will not add anything further on that, even if there are questions. The important thing is whether or not this pans out, we very much intend to continue developing our energy assets and activities, particularly in renewable energy. On to Eurovia, beautiful reactiveness and responsiveness for Eurovia to adapt to the crisis and prepare for recovery. Like in other contracting businesses, a much more significant drop in France than in most other countries. Some of the countries, such as United States, United Kingdom, Chile, the Czech Republic have even seen growth versus the previous year, including if you cancel out currency effects. Order intake at Eurovia suffered in France, a well-known negative phenomenon, post-elections. But the good news is order book started looking better in Q4, which is why all in all, not the only explanation, but all in all made it possible for us to have an end-of-the-year order book, which is up compared to the previous year. Briefly, I’d like to mention to you, since we’re talking about Eurovia, which is led by Pierre Anjolras, he now is in charge of Eurovia and VINCI Construction, both of them together. So it’s possible to develop even further synergies and complementary between these business areas to better respond to customer expectations and also to rise to the major challenges of the environment, energy and digital. I’m mentioning him because, henceforth, we will be communicating not in terms of contracting, which included VINCI Energy, Eurovia and Construction, but rather, we will talk firstly about the new VINCI Construction division which consolidated previous VINCI Construction plus Eurovia. And then, on the other hand, there’ll be VINCI Energy, as I’ve already said, which will be stepping up its growth. So this is the last time we’re disclosing figures with this business line segmentation that we’d been accustomed to previously for a few years already. I’d like to move on to Construction now, the way we used to term it. Situation is quite a mix here as well, around minus 15% like-for-like in France, whereas internationally they maintain their activity. We reorganized a fairly large scale reorganization of Entrepose Contracting, a fair few years ago when Entrepose Contracting was suffering from a significant drop in investments made by major oil and gas companies. Initially, we thought that was cyclical, temporary, but now we’ve understood for a while now that it was structural. So it was time to restructure Entrepose Contracting, which we basically split up into portions that came into subsidiaries in Africa, for instance, and also many of them – many other portions, became part of the major projects division, Grands Projets. There’s no synergy effect here. We saw this clearly very recently when we won an LNG tank, liquefied natural gas tank in the UK – reservoir in the UK, I think it was Grain Island. And you probably know that this is the kind of thing, these LNG tanks, these are one of our specialties. We’ve made about 20 of these in recent years. The most recent were in Siberia as well as Canada. A very important thing to observe and take away from VINCI Construction in spite of the crisis, we can say that we had a particularly large number of large major projects. I’ll just mention 3. There are many more, maybe 4. First of all, the major Paris Express project, we often talk about this. I won’t comment on it again. We’ve got a big portion of it in terms of market share there. Next, an extraordinary project. These are N1 in N2 sections of the HS2 high-speed line in the UK, around €6 billion, which we will be doing as a joint venture with our partner, Balfour Beatty. Several batches of the rail link – City Rail Link in Auckland, New Zealand, around €500 million here, also a joint venture. Then there’s another contract, around €750 million this is to refurbish a tunnel, Louis-Hippolyte La Fontaine, as its name would have it, it’s in Québec. It’s also a joint venture on VINCI’s side. It includes VINCI Construction and Eurovia, which is to say this is the new VINCI Construction that I just described for you a moment ago. All in all, at VINCI Construction, 14% increase in order intake for fiscal 2020 versus the previous financial year. Now let’s think about this in terms of the new VINCI Construction that I’ve just defined for you. This new VINCI Construction begins its history with an order book of €32.5 billion, very comfortable, and activity, which is achieved 50% within France, 50% outside of France. So here as well, we can say this is very much our trajectory toward our internationalization, which we decided on a few years ago. Now lastly, on property development. Real estate development started the year very, very well in terms of residential development, creating dwellings as well as corporate real estate development. Then for a 4-fold shock: first of all, shutdown of the work sites; next, quasi absence of reservations during the lockdown and also during the following weeks; thirdly, the negative effect of municipal elections; and then lastly, the wait and see attitude of property investors, particularly corporate property. Sales was hard hit, but then sales resumed in Q4, especially, but not only, thanks to block sales that were made to large real estate companies, such as the housing portion of the Caisse des Dépôts et Consignations. Thanks to this, it was possible for the full year to contain the drop in reservations for new housing to 16% versus the previous year’s achievement. Lastly, you saw this in our press release. Very recently, we acquired the remainder of capital held by the company called Urbat. This is a strategic move. Now we can position ourselves even better in the area of affordable housing. On this point, just as an anecdote the figures aren’t very high. But I’d mentioned something. We have a real estate development activity with a local Marzocco in Monaco. There was a freeze in all reservations for Testimonio II, an operation underway. So we didn’t reserve one single piece of housing. There’s 60 for sale. This is very high-end housing and very high-priced housing, not 1 single reservation in 2020. Since we entered 2021, though, we already have seen 3 reservations for these and a fourth one, which is in the pipeline. So just to give you an idea, this is yet another sign that things are beginning to recover and head in the right direction. I suggest we now hand the floor to Christian Labeyrie. I’ll come back, as is my custom, to talk to you later about the future.
Christian Labeyrie: [Interpreted] Good morning to you all. So I’ll begin as per usual, by word on revenue that declined by 10% full year, with a steeper drop in Concessions and in Contracting, because Concessions’ revenue is down 32%, impacted by global movement restrictions that considerably impacted airport traffic, of course, to a lesser extent, motorway traffic. In Contracting, the drop was, after all, limited at 5% after a Q2 sharply down, particularly in France, owing to first lockdown when construction sites were stopped. Business returned to levels close to normal as of June. And in H2, Contracting revenue remained broadly stable as compared to H2 2019, plus 2% VINCI Energy, minus 2% for Eurovia, minus 1% for VC, whereas Concessions’ revenue was down compared to 2019, the same proportions in H1, H2, minus 31%. All-in-all, constant scope and currency, the drop comes in at minus 11%, of which minus 33% for Concessions, minus 6% for Contracting. Scope effects cover Contracting recent acquisitions of VE in 2020, most significant TCI in Canada in October. These acquisition 2020 bought an additional revenue of close on €300 million added to an equivalent amount for acquisitions in 2019 full year. Concessions, we had the upside of the full year integration of Gatwick 2020 consolidated in the group’s accounts 2019. All in all, scope effects, not that significant, but there was the depreciation of the euro versus the U.S., Canadian, Australian, New Zealand dollars. The impact of the crisis was stronger in France and international, in fact, twice as high in international. In Contracting, in spite of the health crisis, activity outside France was maintained close to capacity in most countries where we’re present, differences by zone. And at the end of the day, the share of revenue outside France grows to 47% as against 45% 2019; in Contracting almost a 53% as against 50% in 2019. Turning now to the results. Okay. Business drop heavily impacted our profitability across our all business on the possibility of adjusting – unable to adjust real time cost. EBIT, companies consolidated overall stands at €2.9 billion, almost half versus 2019. And margin halved coming in at 6.6% as against 11.9%. Particularly marked drop in Concessions, motorways, especially airports, in spite of traffic efforts, were not able to reduce their costs with the significant drop in their revenue, their cost base essentially fixed. Contracting division see their contributions decline owing to the under coverage of overheads, labor and materials during the shutdown the second half in France in spite of partial measures put in place across division. So learning from their experience of past crises, Contracting was agile to adapt rapidly to the situation. Both EBIT and Contracting margins grew in the second half of 2020 as against 2019. Overall, margin contraction is limited in Contracting, minus 30 bps at VINCI Energy, 5.7% of revenues against 6% at Eurovia; 70 bps, 3, 5 as against 4 in 2019. For VC, a marked fall, 170 bps to 1% as against 2.7% in 2019, owing to the difficulties, several end of construction sites in France, under performance and productivity losses are more marked in this business because it’s more difficult to put in place protection measures. Difficulty of oil and gas, Entrepose impacted 2020 results, but that business was fully revamped, and that restructuring is now completed. Performance of VINCI Real Estate, sharply down due, as Xavier said, the stoppage of new worksites during the lockdown. Let me remind you the production of sites is crucial to real estate and also the lag in sales and in commercial real estate sales were postponed because of the wait and see attitude of investors and lessees. Next slide, the income statement. We can mention here a reduction of the expense. So share-based payments, VINCI an exceptional bonus was paid at the end of 2019 to all employees in France at the end of 2019. Companies consolidated at equity or loss this year, whereas normally, it’s income, minus €108 million as against plus €260 million due to our minority holdings in airports, be it ADB, Kansai or Chile. And in non-recurring items, there’s a similar expenses last year, but items that are more significant in size. For impairment of close on €100 million. On the one side, restructuring costs also for some €100 million. In Construction, Entrepose in particular, Gatwick and positive income linked to the scope change, integrating the deconsolidation of ADP. Financial income, broadly flat, which is a good achievement, because the cost of debt is down, and allowed us to offset the impact of the acquisition of Gatwick full year because last year, we only had 6 or 7 months of financial expense on Gatwick. Sharp drop, obviously, of the tax expense. Income dropped, halved, ditto for the tax expense. Minority interest of the associates in loss making subsidiaries essentially airport €1.242 billion, earnings low compared to what you were used to in 2019, but we can consider as commendable and better than anticipated given the upset caused by the pandemic in most of our operations. We tried to quantify the impact of COVID. It’s not a totally scientific exercise. I wanted to compare with the budgets that we drew up pre-COVID. We estimate that the impact on the income of COVID was about €2.4 billion. So we would have been above the 2019 number excluding COVID. Unfortunately, COVID struck, which strengthens the indications that we gave you about a year ago now. Next, cash flow. It’s the good news. Indeed, the very good piece of news 2020 is as the – as you have noted, financial analysts in your paces this morning, in spite of those difficult, we generated cash on the year 2020 at a remarkable level. And the assessment on screen shows you the mechanics. EBITDA down by €2.6 billion from €8.5 billion to €5.9 billion, but this EBITDA drop of €2.6 billion was almost fully offset by an improvement in WCR and current provisions. WCR played to the tune of €2.3 billion. We improved it last year by barely €400 million, which was already a good performance. This year, we really skyrocketed. Reduction in tax paid, a reduction in OpEx, both in Contracting and at London Gatwick. Now the Contracting divisions are the major contributors to improving WCR, because it’s linked to cash in from clients, extraordinarily high, both in France as well as in other European geographies, particularly towards the end of the year. Some clients’ right at the end of December paid ahead of time for certain services that were only due early 2021, not only the sustained activity in H2 was rapidly invoiced. I said that it was almost at the same level at 2019 and cashed in, but longstanding receivables were recovered, thanks to very good follow-up work on the ground. Development investment in Concessions flat versus last year about €1.1 billion, it’s worth recalling that most of these investments were always underway – already underway pre-COVID, and we can’t stop them in their tracks. I’m thinking the new terminal, the Belgrade Airport, some work that was done in Cambodia or the Western bypass of Strasbourg. In terms of acquisition of new companies, a low amount, €400 million as compared to €8 billion last year. Well, obviously, that’s the illustration that last year, we took 50% of Gatwick, which weighed hugely in this year. Acquisitions were relatively limited in terms of amount and concerned essentially VINCI Energy. As regards cash linked to dividend and share buybacks, they were sharply down versus 2019 following the stoppage in March 2020 of share buybacks at the early pandemic and partial payment of the balance of the dividend of €1.25 per share in July in respect of 2019, 60% of that dividend balance was paid in shares. All in all, a debt variation a lot higher than what we estimated of €3.7 billion, bringing net debt at the group at the end of the year to €18 billion. Next slide. Looking further out, you see that VINCI has demonstrated on many occasions, its ability to weather crises and difficulties, the toughest such as the one we’re currently experiencing. Unfortunately, the crisis is not over, delivering performance more than commendable in terms of cash flow. And so as I said, and as Xavier said, the remarkably high level of free cash flow in 2020 on a par with that of 2019 is one of the greatest causes of satisfaction on the financial front. So the balance sheet structure, next slide. Balance sheet structure remains very strong with capital €46 billion down, that’s the improved WCR shareholders’ equity, €23 billion non-recurring items at a very high level, gross debt close on €28 billion, slightly down versus last year, but we renewed, we reissued loans, more about that in a second to face our reimbursements and cash, available cash reaching close on €10 billion as against €6.8 billion at the end of 2019. Next, let’s move to the key items of our financial policy, if I don’t get lost in my papers, but never mind, I can do it without my script. We benefited in 2020 with exceptional market conditions. Shortly after the beginning of the lockdown that was in May, the beginning lockdown was quite difficult, but we didn’t turn to the financial markets, waited until things calmed a bit. In May, Cofiroute issued €900 million loan, 11 years with a 1% coupon, which was already a very fine performance. And more recently, in November, VINCI has an inaugural issue of €500 million green bond issue zero coupon. But in fact, given that we issued below par – or rather, above par, we have a negative yield. So, in fact, we borrowed at negative rates over 8 years. That’s a first, never happened before. And for the time being, remains a record, perhaps not global, but at least French, for how long I don’t know, but that’s the way it is. On the right, you see the liquidity level, €10 billion of cash at the end of year. We, of course, need to add the undrawn credit lines at VINCI to the tune of €8 billion and T-Bill issues for €1.2 billion, of which €200 million at Gatwick, as Gatwick benefits from the T-Bills guaranteed by the Bank of England as part of the support to the UK economy. Share buybacks, I’ve spoken to. Capital issues, partial payment of dividend. Final slide recalls the rating agencies that rate us. S&P and Moody’s maintained their rating. It wasn’t a done deal. If you recall at the end of H1, they credited us with the resumption of our operations that occurred partly in H2 and awarded us maintained a stable outlook. You see the cost of debt is slightly down. In fact, it is down more on the euro component of the debt, which accounts for 60% of the total, €28 billion mentioned earlier. But as I said, we consolidated Gatwick, the acquisition costs over a year. So we’re impacted on average cost by the sterling rate of the Gatwick debt acquisition that in spite of that, our cost of debt is slightly down. Xavier?
Xavier Huillard: [Interpreted] Thank you, Christian. First of all, I would like to just give you a few of my thoughts. These are points I’ve already made in the past. No particular order in all of this, but let me just say the following. We’ve all understood just how much our colleagues – how much we miss our colleagues. We’re using our force energy and creativity to maintain our relationships with our colleagues and all the other stakeholders as well, which is all to say, yes, of course, remote working will continue apace and develop further. But there’ll be some limits. We’re convinced that the company will never be able to just be remote contractual relationships, because the company is, first and foremost, a location where people are together. It’s a group of people serving our strategy, our shared dream. It’s especially true in our business lines. And I’m absolutely convinced this is equally true in all areas of the economy. Next, it’s never been more necessary to show our social responsibility in societies that are ever more fragmented, that have never needed as much as currently to reestablish this social fabric. It’s crystal clear that now more than ever before, we have to step up our environmental policy, even just because of immediate concerns regarding the health of our fellow citizens. All of a sudden, we really get a fuller understanding of our health as well as the planet’s health and need. Next point, we have to continue adapting and being agile. We’ve been very adaptive and agile during the crisis. We’ll continue demonstrating this. And it’s first and foremost thanks to our local managers, we restate our belief that the right decisions are made as close as possible to the ground, to the field. This is a good thing. We’ve got the right organization that is highly decentralized, making it possible to be fleet-footed, responsive, quick acting to crises as they arise. Now the crisis is the virus. In the future, as long off in the future as possible, but there’ll be another one in the future some time. A last point on this, new challenges are coming to the fore for all of us. We as a company and all – and we as a country see more and more challenges. And these challenges become global challenges. Think of the pandemic, it’s very much global. Think of the planet itself, a global concern. Cybersecurity, other types of crisis we can’t even imagine today may well happen. All these crises have become global crises. Therefore, all of us will need to change the way we do things; change, the way you think about things, our mindset. My point being highly vertical responses, very top-down responses, quickly have to give way to faster responses, more agile responses, greater cost-cutting cooperation and local cooperation. Next, to come back to our businesses specifically. First of all, it is currently impossible to make specific serious forecasts pertaining to our Concessions business. This is very much – too much dependent on how are the measures taken to counter the pandemic and restrictive measures that may be taken in a fairly disorderly fashion by the various different countries. You may remember, back in September, we had the impression that we might complete VINCI Autoroutes’ year at minus 15% in traffic. In the end, we were down more than that. Why? Because in the interim, the pandemic developed further and you’re familiar with what that led to. You can see this quite well on Slide 32, and then Slide 33. On 32, you can see changes in traffic on VINCI Autoroutes month-to-month throughout 2020. You can see it was quite a ride, went way down, plummeted way down and then went way back up to a level very similar to the previous year, 2019, and then to plummet yet again in Q4 of the year. The point here is there’s a need for mobility. People have a desire for mobility. That remains. As soon as the restrictions are lifted, people will begin traveling again. This will respond quite quickly in VINCI Autoroutes. We’ll see this. VINCI Autoroutes in January, we’re in line with the previous financial year, maybe not quite a strong reduction as we’ve seen throughout 2019. What we thought would be interesting would be to give you – at least during this time of crisis and regularly every month, we’ll give you our traffic statistics for our Concessions businesses. And for the first time, we’ll be doing this toward mid-February. So I can’t give you figures for January traffic now, but you will get it very, very soon, get those figures very soon. The important thing to remember at VINCI Autoroutes is demand is pent up. It’s waiting to express itself as soon as the restrictions are lifted, because people need to travel, there’s a pent-up need, it’s very strong. We see it in our geographies, and we see it in all geographies where we operate. VINCI Airports sees Q1 2020, which is difficult – slide – 2021, sorry, it’s difficult. We see it on Slide 33, minus 80%. VINCI Airports will recover more slowly, more gradually during 2021. Among other things, as people begin to be vaccinated on a large scale and we start seeing herd immunity and people start to want to travel more. For instance, look at the United Kingdom. It’s the European country that’s vaccinated the largest number of people. In the UK, they’ve already vaccinated over 10 million British citizens. They’re targeting very high vaccination levels, maybe 90% of vaccination by next summertime, which means in just a few months’ time in some countries they’ll have very much reached to herd immunity, which means also that within Europe, we should reach the herd immunity sometime during 2021. Last takeaway point on VINCI Airports, you know that our positioning, and we can see this on Slide 33, is 78% VFR, which is Visiting Friends & Relatives and tourism. Only 21% of our traffic is business travel. So we’re very much VFR, Visiting Friends & Relatives and tourism. We hope this will help us see quicker resumption in our airports network versus the major international hubs, whose business traffic is more significant than is our case. We saw an example of this during the summertime when there was a traffic resumption between France and Portugal, and clearly, that’s the segment of VFR and tourism, and it bounced back during the summertime and then went back down due to the increase in the health crisis. So in any event, though it will be better than in 2020 – in any event, VINCI Airports, yet again will see a strong drop in 2021 compared to 2019. Contracting now, the situation is quite different there. I already said this. Our order book is at a record high, this is Page 34, especially outside of France. The international accounts portion of our order book is 60% of the total. In 2021, we should once again see a level of Contracting activity very similar to 2019, with an improvement in operating margins for the 3 divisions, so that we may come back to and slightly go beyond for VINCI Construction, the margin levels that we achieved in 2019. If you add up all of this, this will mean that for VINCI overall, we cannot give a reliable forecast. We have to look at a crystal ball to do that and that would be pointless. But we can say, it’s clear we’re not going to see in 2021 a resumption of activity levels and margin levels that we had before the beginning of this health crisis. Now, of course, the group intends to go further than this. We think in the long term, take the long-term view, our project is to prepare ourselves for a recovery in economic activities in all territories where we’re major players, both in Concessions and Contracting. Our view is we have the possibility of using assets that are very strong assets of ours. First of all, our business model is a long-term business model, very much suited to the current challenges, which are long-term challenges. We’re talking about energy efficiency, the environmental transition, new mobility needs and communication needs. For all these reasons, we’ve got a strong belief that we’re here in all of our business areas. For the long run, we’re in buoyant long-term markets. Next, our businesses are highly responsive. We act quickly. We saw this during 2020. Thanks to the way we’re organized in a very decentralized fashion. Our teams are highly committed, very much engaged, witnessed by our ability during the crisis 2020, ability to react. Our financial situation is very sound, indeed, as Christian Labeyrie has explained it to you just a few moments ago. We are, therefore, confident. And with this confidence, the Board of Directors have met yesterday, decided to propose to the next Annual General Meeting, which will be held on April 8, and a dividend that’s identical amount as last year, which is €2.04 per share detachable 20 April, 2021 and payable on 22 April, 2021. Now, before I start in Q&A, let me say, growth is going to be evermore green. There’s no doubt about that whatsoever. We began working this starting in 2019. Very beginning of 2020, before the COVID crisis, we announced our targets and our precise commitments that all of our 217,000 employees are now working on. There are 3 areas of focus: act for the climate, which means we’re addressing our CO2 footprint; optimize natural resources, thanks to rolling out the circular economy when possible, which means reusing materials to not have to extract these materials from the planet; and then thirdly, biodiversity, preserve natural environments. One last point having to do with our social and societal responsibility. As we see it, this is very much part and parcel of our environmental responsibility. During a time, when society is going under – experiencing a trying situation, we’ve all got to be active in this area of the society as a whole. We’re talking about, for instance, Give Me Five, helping youngsters in France. We think of other things we do. There are many citizens’ actions that we began in almost all of our countries since the beginning of the health crisis. All of these actions and many others in each of our countries are a great illustration of our humanist approach, our inclusive approach in our business, our ability to work for a more inclusive society with more solidarity. I’m emphasizing these initiatives. Why? Because we not only must continue with these, we are going to need to boost these even further. Today, clearly, paying attention to the planet is no longer optional. The environmental transition, however, will only take place if we also pay greater attention to societal and society considerations. It is our custom to try to put all this into perspective and talk about overall performance, comprehensive performance. You can’t just talk about technical or financial performance on one side and the environmental and social performance on another side, no. It’s overall comprehensive performance. You can’t have any performance at all if you don’t have all these type of performance. That’s certainly our belief and that’s what brings us forward. That’s our focus is. Our whole purpose, our whole calling, our main duty of calling is to reconcile all of this, to bring together in one movement the will to be useful to people and a concern for the health of our planet. Thank you very much. We’ll be happy to field questions. Christian and I, as well as our colleagues from Executive Committee are here to answer your questions now. Thank you.
Operator: [Operator Instructions] First question comes from CIC. Over to you.
Unidentified Analyst: [Interpreted] Can you hear me?
Operator: Yes, we can hear you.
Unidentified Analyst: [Interpreted] Well, we’re pleased to – I’m really pleased. I’m really sorry not to be with you. I hope things will change. Two questions. The first, Slide 15, VINCI Airports, €140 million EBITDA, the 4 major airports, ANA, Gatwick, Lyon and Cambodia, are they profitable in EBITDA? Is it possible for you to answer that question without going into the detail of the figures? And secondly, I’ll put it later. I’ve a question on Contracting.
Xavier Huillard: [Interpreted] Yeah, go for your second question on Contracting.
Unidentified Analyst: [Interpreted] The merger between Eurovia and VINCI Construction, is it marketing on cosmetic or does it involve a merger process with reduction in holding costs? The result – the positive result of VINCI Construction, about €130 million recoveries on the 3 major job sites in difficulty these past years?
Xavier Huillard: [Interpreted] I’ll answer the second one. And then so we’ll get rid of that and then I’ll let Nicolas answer the first, by Nicolas. So on your second question, that is on this new VINCI Construction, what was the idea behind this? Well, increasingly, the business is conducted by Eurovia, where had kind of recoveries from VINCI Construction. Let me give you an example. Africa, VINCI Construction has a business that is essentially focused on roads, which is normally Eurovia’s business. In the U.S., Eurovia undertakes projects that are TOARCs, where we’re in charge both of the earthworks, construction of straightforward engineering structures as the case and then the pavement on the road. So Eurovia in the U.S. is a lot denser, a lot broader than the way in which we see those businesses in France. In the UK, Eurovia’s business, a very large part made up of work through long-term contracts, almost PPPs that concern all the road, primary, secondary, tertiary networks within a county in the UK, ditto in Germany. So Eurovia and Construction businesses had quite a lot of overlap, and our international expansion made that overlap increasingly frequent. For example, when we do the Regina Bypass in Saskatchewan, it’s road, but it’s also construction. And it was a deal that was won, thanks to local presence in Eurovia; and then, delivered between Eurovia, VINCI Construction and VINCI Energy a bit. So first point is that this merger, as you say, this tie-up makes sense, so that we kind of streamline a bit in each geography, the way in which we address the various market segments that I’ve just referred to. Second thing, there are major challenges at VINCI that are, on the one hand, synergies across our various businesses and synergies between Contracting and Concessions. So what we expect from this new setup is to be even more efficient when it comes to forging synergies between these internal components within VINCI. Third point, we have huge challenges ahead of us in Construction in terms of developing our support for the environmental transition by new practices, innovation. We believe that by working more hand-in-hand, VINCI Construction and Eurovia will allow us to leverage to the full these new aspects. No major changes in terms of the structures. The only thing kind of in practical terms, as Pierre Anjolras, as I said, is both the Chairman of Eurovia and the Chairman of VINCI Construction. And a few weeks ago, he produced a managerial organization, not necessarily legal, but organization, managerial that, for the most part, brings together these businesses under a single management across various geographies. We expect an improvement in performance through improved synergies and better specialization of the various units in these businesses that tended to overlap a bit more every day. Christian?
Christian Labeyrie: [Interpreted] So EBITDA, we don’t give you the details of our EBITDA asset by asset. If you’re patient, ANA’s going to be publishing accounts. You’ll see what the situation. I can’t say anymore. We very often have partners, so we can’t disclose information without the agreement of our partner, et cetera. There are lenders – so sorry, we can’t disclose that type of detailed information. As to the results of Concession, well, we would say that the real – sorry, Construction, the risk on major work sites in France are, I’d say very correctly provisioned at the end of 2020. And we hope to have a return to better fortune, perhaps not in 2021, but in the out years. Very often VINCI were on the erring on the safe side in that respect.
Unidentified Analyst: [Interpreted] So on VINCI Construction, I mean, is the entity fully covered or not?
Christian Labeyrie: [Interpreted] Well, it is. Well, the result of 1%, which is the sum of all the contributions of VINCI Construction, corresponds to results that are markedly positive at VCGP, major projects, Soletanche Freyssinet international subsidiaries’ negative contribution of Entrepose and VCF.
Unidentified Analyst: [Interpreted] Thanks for that.
Operator: Now, we’re going to get a question from Elodie Rall from JP Morgan. Go ahead.
Elodie Rall: [Interpreted] Yes, hello. Hello, Xavier and Christian. Hello to everyone. Congratulations on these very good results. I’ve got 3 questions. First of all, free cash flow performance, which I believe will be the big takeaway point here from these results. You talked about cash in end of 2020 from public authorities, that should come in, in 2021 possibly. Should we then see this as a one-off point? I realize you can’t give guidance on that for 2021 at this juncture. But can we possibly think that this amount of free cash flow, as in the past couple of years, would be sustainable? Can we be more confident in this type of guidance for the future? So that’s the first question. Secondly, about motorways and possible extensions. You seemed more optimistic about your relationship between motorways and governments. I get the impression, you seem to be a little bit more optimistic. Do you have any update conceivably on green CapEx and types of expansions, where things stand in those negotiations? And then a brief point on Airports, I realize you can’t give us specific airports reports or results and can’t guide on 2021 traffic, of course, but could you recall for me, sensitivity of airport results to traffic? I think you said 70% traffic levels of 2019 would reach, would’ve been breakeven or something like that, I think. Could you remind us of the orders of magnitude between traffic and overall activity results, earnings?
Xavier Huillard: [Interpreted] Thank you very much. We’ll hear from Christian Labeyrie, then Mr. Coppey and one other person.
Christian Labeyrie: [Interpreted] Regarding the free cash flow point, time will tell what 2021 and 2022 cash flow is. As caution has it, we have to say we can’t extrapolate this performance and assume performance of 2021 or 2022. If we were paid in advance at the end of the year, we can’t count on that being the case in future years. So we have to do our forecasts, and we have to think possibly of €4 billion. I talked about recurring cash flow at VINCI around €3 billion in the past. It may be somewhere between the 2, but at this juncture, we have no idea. It’s very early days. In this year’s free cash flow, you’ve got also the savings effect, savings on CapEx, such as Gatwick and also Eurovia contracting. And you cannot extrapolate based on this. You have to invest if you want to do these work projects. So this will mean easily €200 million to €300 million. If you include all of these different factors, I’m not saying necessarily it will be €3 billion, but it can be probably be closer, maybe closer to €3 billion than €4 billion. But as I said, it’s very, very early days to try to do any sort of forecasting. On motorways, CapEx 2020 around €650 million or €750 million. We kept our investment program, as we said, in spite of the epidemic. Talks that had been started in July on a major plan, financed by extensions, this was interrupted end of October. And now, this is in discussions to make smaller-scale investments that might be placed in specific contracts for each of the companies and compensated by increased rates, increased – a more modest increased tariffs for an [indiscernible] extension, because the government in the immediate future isn’t considering extending length of concessions, probably, in conjunction with the Senate report yet to come, which has further complicated dialogue on the matter.
Pierre Coppey: [Interpreted] I can confirm what you were saying. Breakeven net earnings, around 70% of 2019’s traffic will be breakeven. I’d also add a point. Savings and OpEx were quite substantial. They’re long-lasting. They continue. Some of these OpEx savings will continue in the long term. That’s the advantage of very long-term concessions. Now, CapEx, down to that one, but beyond major greenfield contractualized operations, which are wrapping up at Santiago de Chile and underway in Belgrade, there’ll be big reduction in CapEx in 2021, particularly pertaining to capacity CapEx.
Elodie Rall: [Interpreted] Okay. Yes, on that point, I believe you had a slide that showed an increase in CapEx starting in 2023 for airports among others. I think it was Page 68, talking about a big increase.
Pierre Coppey: [Interpreted] Well, starting in 2023, yes. But, of course, this can be revised, as you can well imagine. We’ve got more certainties for 2021 and 2022. We do have 2 medium-term programs. One of them we confirm, which is the one to extend airports. In Kansai, KIX, you know that there was a – there is an Osaka fair 2025. It should be – operations start in June. Information that we’ve given you, it was disclosed in December, is that the Japanese government, it hadn’t originally been expected, decided to subsidize to the tune of 50% of this CapEx. This is direct subsidy to this Kansai project with an eye to maintaining the 2025 operation. Now, 2022 figures. Without any startup right away, we’re assuming there will be extensions in Lisbon 2021, 2022. That explains some of the figures expected starting in 2023, such as Montijo, Lisbon Airport.
Unidentified Company Representative: [Interpreted] Let me say very little CapEx expected for Gatwick, 2021, 2022, in the neighborhood of zero. Of course, in our medium-term projections, there is Gatwick CapEx in 2023, 2024 and 2025.
Xavier Huillard: [Interpreted] Thank you to Elodie.
Operator: Next question from RBC. Go ahead, please.
Stéphanie D’Ath: [Interpreted] Yeah. So well done for these fine results, notably the cash, a lot of available cash. Can you tell us a bit about your acquisition plans in [20] [ph]? Give us an update on ACS airports. Do you think there are good deals to be done or what about ADP at the seat on the Board? And on contracting, I’m sure you keep the situation as it is?
Xavier Huillard: [Interpreted] Well, answer, we have not changed our strategic line businesses where we wish to invest and to go all out, the same as before the crisis with timelines that are, of course, slightly amended because of this crisis. For airports, I mean, I’m convinced, and I think that also the view of Nicolas Notebaert, it’s more than likely there won’t be very much available on the market in terms of yellow field deals. Why? Because the current owners of these major airports quite obviously understand that now is not the time to market them, to go-to-market, because it’s take the risk of underselling in terms of valuation as compared to what might be obtained when we have a clearer view on the traffic outlook. That suits us, I have to admit, because to do long-term anticipations, to embark over dozens of year on traffic development charts in the fog in which we are today would be a pretty hazardous, indeed, bold exercise. So short term, not much is going to happen as we see it on the airports front. It won’t prevent us from continuing to track a number of opportunities that I won’t detail, but I’m talking more about opportunities with low capital sums on deals for airports of small and medium size. But big transactions, no, which leads me to the second part of your question, ADP, Paris airports. It’s more than obvious that the opening up of the share capital of ADP, that won’t happen in the coming months for the reasons I’ve just outlined. But also, as you know, in France, we’re entering into a pre-presidential election phase, which generally doesn’t lend itself to this type of project, which, as we saw a few months back, can become quite controversial. So nothing much will happen with ADP short-term. On the energy front and businesses, as I’ve said on many occasions, we plan to grow in an accelerated fashion. This is what VINCI Energy has achieved wonderfully for many years now. Our new focus is today to look more than we did in the past at renewables, not just in terms of design, construction of wind and solar farms, but also to go to market of the invention and development of renewable energy fields and long-term with the corresponding assets. It’s one of the strategic dimensions that led us to look at [ACSIS] [ph]. And I said earlier that we would say nothing more than what we said thus far.
Operator: Thank you. We have another question from Nabil Ahmed from Barclays. Go ahead.
Nabil Ahmed: [Interpreted] Hello, thank you for accepting my question. I’d also like to congratulate you on the good results considering the context, truly impressive. 3 questions. First of all, Contracting, more specifically, second half margins. I looked this up in the past. I haven’t found as high margins for Contracting. You can tell my point, a return to better fortune and so forth. I was wondering, why you’re guiding on 2021 margins that are similar to 2019? And should there be a drop compared to the second half of 2020? Another question, indirectly related to ACS, but not directly, if you allow me to ask the question. In renewables, does this hinge on acquiring ACS? If ACS doesn’t come forward, will you still be interested in that strategic direction? Last question for Xavier. Your CEO term is up next year, I believe. Could you share with us what your view is? Will you take the following term? Is there a succession plan conceivably? Thank you.
Xavier Huillard: [Interpreted] I’ll begin with that last question. It’s easy. Easy way to – the easy thing about it is, because I won’t say anything to you. This is obviously wholly and only up to the Board of Directors, particularly the lead Director and the Appointments Committee. We have ongoing talks about this. Let me also say that the COVID crisis has to be factored into this. In other words, the group was really thrown into some upheaval. We have to include that aspect to make sure there’s not a transition that might be made more difficult around 2022. But that’s the only thing I’ll say. Regarding renewable energy, I’ve already said this in the past. Yes, we do intend to be a player, including a capital player in the area of renewable energy. Why wasn’t, this is the case previously? Up until fairly recently, about a year or 2 ago, before COVID, our view was available capital to invest and develop was pretty well sized to meet the ambitions that we had, i.e., to grow in airports and to grow in motorways. And lastly, no order of significance to grow in Contracting with a special focus on energy. We felt opening up a new area of investment with a long time frame would possibly risk our ability to develop in the subject areas where we’re already established. Now, especially due to the crisis, that rationale, which was true 1.5 years or 2 years ago, clearly, is no longer true. Therefore, now, we’re available to invest money in renewable energies. Our view is we have many of the qualities that are prerequisites for this to develop something from scratch, activities in renewable energy. Well, doing it from scratch means having to have a local establishment to fully understand regulations, desires of local populations, desires of politicians and so forth, and we’re in a very good position for this, due to our network, which covers over 100 countries. We’re very comfortable, when we’re to develop from scratch, renewable activities. For example, in Africa, we have longstanding significant positions there. Next, we’ve got an ability, we’ve already clearly demonstrated. We’re very good and quick at doing legal and financial establishment of these deals. These are very similar to concession type programs as we’ve had previously. Clearly, it’s easier for us, if we’re talking about engineering plus construction, that’s part of what we do. And then maintenance is something also we already do in many different areas. Therefore, we’re very, very comfortable in each and every one of the segments along the value chain. We just need to decide to move in this direction. There are 2 ways of doing this, either we do it by ourselves from scratch, reorganizing ourselves so that we can tackle these subjects or we can do this through various acquisitions, enabling us to step up our presence in this segment. This is one of the reasons for the [ACS IS] [ph] project. So to answer your question, yes, we very much intend for [ACS IS] [ph] to happen, so we can quicker roll out in energy areas. We’ve already demonstrated this very clearly. Furthermore, we are investing in this subject of renewable energies. Christian?
Christian Labeyrie: [Interpreted] Regarding margins in the second half. It’s still early days. We can’t extrapolate. It’s to the first half was excellent, especially for VINCI Energy and Eurovia. The end of the year was quite something beyond what we could have hoped. It doesn’t mean that you can extrapolate. Nothing exceptional, we need to mention there. VINCI Construction, it’s also the case for several divisions that had very good second half, such as Soletanche Freyssinet as well as Major Projects, Grand Projets, not VCF though, we feel that they should be able to do better. And we have to recall the following: Entrepose was loss making in 2019. Now, in the second half, they’ve broken even. So that also helped contribute to the good results in Construction in second half. But to begin extrapolating is way too early. I can’t do that. We can dream, of course, but we won’t commit to that at this juncture.
Operator: Thank you. Next question, ODDO BHF you have the floor.
Unidentified Analyst: [Interpreted] Yeah. Thanks for taking my question. I just to return to your comment, Xavier, about the need that you see to decarbonate roads, obviously, it won’t go via a motorway stimulus plan, at least in France. What other form might it take? How can public authorities get to grips with this one and launch this type of project? Are the – already discussions underway? Still on France, could you give us a brief update on the situation of municipalities, local authorities and the order book for 2021? I think I saw in your release that T4 were showing some early shoots of recovery. Is that an underlying trend or just a one shot? And then I have a slightly more technical question on taxes in France. Could you give us an update on the 2021 changes? I mean decrease in the tax rate, but also measures regarding indirect taxes, what the impact can be for VINCI?
Xavier Huillard: [Interpreted] Well, Pierre will answer the first question. Pierre Anjolras, very much involved with municipalities, local government, will take the second.
Pierre Coppey: [Interpreted] On decarbonating roads, well, the idea starts from some simple facts. Transport represents 30% of greenhouse gases, road represents 80% of travel and 3 out of 4 commuter runs happen by car. So decarbonating roads probably means devising a master plan for rolling out decarbonated energies on the road network. That’s something that doesn’t exist today and doesn’t follow the pace of acceleration of the rollout of electric vehicles in France. It means developing infrastructure to increase the use of road. Road is not a means of transport, it’s an infrastructure that receive means of transportation that can be diversified by developing buses, multimodal means, developing carpooling, car sharing, fluidity between these various modes, all these issues require an overarching plan. And we clearly sense that all the players, not just the professionals, are rallying and are beginning to discuss this with the public authorities.
Pierre Anjolras: [Interpreted] Hi. For municipalities, local authorities in France, the good news, their financial situation is sound. That’s reassuring. We’ve seen notably this year with the lag in municipal elections, obviously, a slowdown that continued. And we’re beginning to see at the end of 2020, the beneficial effects because the governance teams at local levels in the towns and cities are now in place, and we’re seeing the positive effect of that. Third point, it’s clear that elected representatives are very concerned, and that is as it should be by the COVID crisis and short-term crises that are diverting their attention from more long-term investments. And at the same time, that’s a positive point to pick up on what Pierre Coppey said about the road or other infrastructure. We all sense that midterm, there is a need to invest and to address a number of issues, be it what we’re seeing. We all see this in major cities such as Paris, cycle lanes, so the beginnings of a transformation in transport infrastructure and urban development. So clearly, there’s a capacity for financial investment with this stimulus plan in France. €200 billion to be raised by local authorities, and we set great store by it. It’s urgent that it be deployed as of now, as we see in France and many countries where we operate, such as Germany, UK or Canada.
Christian Labeyrie: [Interpreted] On taxes, we can’t tell you everything. We’re allowed to keep a few secrets up our – CVAE in France is a tax that’s proportional to revenue. We don’t know by definition what our 2021 revenue will be, notably that of VINCI Autoroutes. So that the 50% reduction, if it’s confirmed, that would represent a saving of a few dozen million euros net income. And the tax rate, we don’t know what the earnings of VINCI Autoroutes will be into 2021. It’s difficult to project. We’re not talking 3 digit, a few dozen million euros for the impact of the tax saving that would result from the drop in the tax rate. 31% or rather nudging 32% will drop to 27%, 28%, a few dozen million in tax savings for companies in 2021. But we need to be very prudent. What counts is the tax base. Before paying less tax, we’d rather pay more tax with more earnings than paying less tax with less earnings, if you follow me.
Unidentified Company Representative: [Interpreted] That’s the comment of Labeyrie, the philosopher, Dr. Huillard and philosopher Labeyrie.
Operator: Thank you. We have a question from the English side from Kepler Cheuvreux. You have the floor, sir.
Luis Prieto: Yeah. Good morning. I’m Luis Prieto from Kepler. I have 3 brief questions, if I may. The first one is coming back for a moment to the working capital situation and the earlier payment than expected. I just wanted to know whether any sort of economic incentive has been given, economic or in terms of incentive has been given to the clients that paid earlier. I just wanted to understand a bit more how you managed recovery on the ground? The second question would be regarding toll road opportunities worldwide. Obviously, high complexity toll roads are, I understand, of interest in a company like many of the other peers. So I would like to know your view on this front and particularly in the context of the current concerns about congestion levels being impacted by factors like work from home. And you made reference to the work from home levels that we’re very interesting before. And finally, in renewables, I understand that you’re probably not going to be able to help me here, but I just wanted to have an idea of what could be a theoretical size of a portfolio of renewables within your activity portfolio? And what geographies would be targeted?
Xavier Huillard: [Interpreted] I’ll answer that in French. WCR, Christian will comment on that, to repeat what was already said actually. Now, on motorways, your question covered several aspects. My understanding was initially, you’re asking about sophisticated technologies can be used to improve flow through existing infrastructures. And in addition, you also talked about remote working. And I would like to comment on both of those points. First of all, regarding greater sophistication of managing existing motorway sections to make better use of these with better flow, we’re already highly involved in these business areas. Because you may not know, but we are the first to have established in California, in Orange County, a system for setting dynamic tolling. The target here specifically is to make it possible for people who are in a hurry and accept to take lanes that are faster flowing lanes versus people who aren’t in quite as much a hurry and they can stay on the other lanes in that section that are a little bit more congested. So dynamic tolling, dynamic pavement is highly developed in the United States. And we were one of the first – not necessarily the first, but one of the first to implement this. Because of us, we have a company called ETC, I think it is, which is a specialist. They’ve developed in the U.S. in that niche. They also recently won, along with us, a contract in Ireland. We present them with this technology and other bids as well, more and more. Remote working, working from home, If I asked Pierre Coppey, but I’ll say it in his stead, we would say this. If we look at our French motorway network, the proportion of our customers, who are driving on the motorway as a commute from home to work, is fairly small, 5% approximately, about 5% to commute, which is to say, even if in the likelihood that there’s no more remote work, as I said earlier, remote working in the future will not represent all of a sudden 50% of all business activities. This simply can’t happen, it’s not possible. But even in that assumption, impact on traffic at VINCI Autoroutes would be very much manageable because it would be fairly minimal on renewables. That’s not our rationale, not our way of thinking. We don’t set targets in terms of portfolio. Why? Because if you set that kind of objective, that could well be a strategy of some of the major players in energy. But it would presuppose buying at fairly high prices existing portfolios. That’s not what we do. Our type of doing things is sometimes to buy existing assets, but more times than not, to leverage our network of establishments worldwide, our intimate understanding of how things are done locally to then ourselves develop various products. What we’re saying, therefore, is that it would be wonderful if within the next few years, we were to be able to develop, let’s say, 1-gigawatt of renewable energy per year to begin with, that’d be pretty good. Here we stand at 0 right now, because we’re just doing design and build and/or maintenance. But in terms of developing assets, even our assets for the long term, our objective initially would be to try to develop ourselves approximately 1-gigawatt renewable energy per annum. But we have comparison, people like [Neon] [ph] that are doing well today are at a level of that similar order of magnitude. People like Total have their sights set much higher, but that’s because they’ve got the wherewithal to invest massively in existing fleets. On WCR, Christian, it’s not the way we do to pay customers for them to pay us quicker.
Christian Labeyrie: [Interpreted] We’re pleased to pay our suppliers in a timely fashion. I don’t know if you remember we had a campaign in the second half on the subject. We were very careful to be beyond approach this area and our subsidiaries as well. I’d remind you, in France, it’s through elsewhere in Europe, I believe, you can – to pay, you can take minimum 60 days. Sometimes that wasn’t complied with by certain clients, especially some government clients. So instructions were handed down in 2020 due to COVID, and probably even more so toward the end of the year, just to make sure that they comply everyone, including some government payers would comply with those regulations, max 60. It probably wasn’t for reasons of ill will, but just maybe lacking organization. This is also the case in other European countries, including countries where payment times had tended to extend more and more over time.
Operator: Thank you. We have another question from Gregor from UBS. Over to you?
Gregor Kuglitsch: Hi, good morning. A couple of questions. I just come back to the working capital to be clear, you were kind of talked about particularly cash, I think, for this year if that was quite right. I guess, the question – because we – I appreciate the inflow will not be repeated, but do you think there’s a risk of an unwind? In other words, that some of the €2.3 billion or so actually flows out, say, over the next 1 or 2 years? I appreciate it’s difficult, but just to give us some sense. The second question is, can you just give us kind of a big picture overview of any sort of major tenders coming up in Construction or Contracting? Is there anything we should be watching, be it in Grand Paris or elsewhere in terms of larger projects that you’re working on? The third question is, so you spent a lot of time on renewables. I think another area was maybe the U.S. and managed lanes or sort of concessions, road concessions in the U.S. So can you give us an update what you’re thinking there is? I think you’ve hired somebody there and I guess there’s some things coming on to the block, I believe, so whether you are keen to get involved on that side as well? Thank you.
Xavier Huillard: [Interpreted] On big projects, Pierre Anjolras will correct if mistaken, but let me just say that you’ll have noticed our order book is it a record level – record height, and it comprises large – several large deals. One of them I didn’t mention, which is starting up, Femern Link, this is the link, undersea link, which no longer and which 9 years down the road will link up Denmark and Germany. It’s a project – for our consortium is about €3.5 billion in revenue. Technically, it’s quite complex from a technical point of view. So let’s just say, we’re not lacking projects. My feeling is, it’ll will stay this way. In other words, the world is full of projects. There are so many projects out there. The difficulty isn’t to find major projects, the difficulty is to target those large projects where we can provide an added value and also, in turn, extract value, i.e., projects that are in line with our way of carrying things out, especially with a big dose of engineering so that we can optimize the projects. So the issue isn’t to race after any old project that might be out there, we have to carefully select them. Worldwide, you have a very large number of projects out there. I’m convinced there are going to be more of them in geographies like the United States. That’s obvious. The new administration will have to very assertively tackle the underlying problems in the United States, i.e., the very mediocre state of their infrastructure. So we’ll see an increased investment going on in the U.S. on infrastructure. Our position in that country, of course, and in North America more generally will enable us to be selective as we are so that we can win tenders. More generally, I believe one of the responses to the COVID crisis is going to be – among others, is going to be to re-launch some projects in some geographies, because often, this is an effective way to leverage things to boost the economy, to get it to bounce back after crisis. That’s a point on major projects. And Pierre Anjolras will correct if I was mistaken in any way. Now to come in on the points is Christian.
Christian Labeyrie: [Interpreted] Free cash flow. Let me talk about this. In 2020, half – almost half of the €4 billion was generated in December. So VINCI is like a toy company when the toys sell. So it’s impossible to do forecasting 1-year ahead about what cash flow generation is going to be in December. Usually, it was around €1 billion. That was the case for quite some time. This year, we doubled December’s cash flow. I don’t think we can extrapolate on this, but you never know. At this stage though, I cannot do any kind of forecasting, though. Xavier?
Xavier Huillard: [Interpreted] Regarding managed lanes, I suggest Nicolas answer that one. He’s the one who managed to attract to us, bring to us a highly talented woman, Belen Marcos, who understands this subject very well.
Nicolas Notebaert: [Interpreted] Yes. To comment on the previous question as well as this one. First of all, ITC, things are happening in Texas right now. After California, it’s developing very well also. Last week, we did the go live of the proof-of-concept of a toll technology, 2 contracts near Austin, Texas. This is proof of confidence in leadership, because it’s a highly competitive place, and we’re very proud to have won these contracts in Texas after California. The President of CINTRA, Belen Marcos, came on board to us. She has a great knowledge of this market. She was located in Texas. Managed lanes, there are many parameters involved. First of all, the amount of CapEx, we said this earlier, this and together with Pierre Anjolras, of course, depending on the amount of works, the type of works, and depending on the American state where the projects are located, we’ve gotten ability with partners or not to be involved in big CapEx operations. Next, the tolling technology, clearly, we have this. We also have the ability to take traffic risk and put the equity. So work throughout the U.S. and Canada. If there are opportunities, there are fewer, any and all opportunities in the marketplace, both brownfield and also greenfield to consider the type of work, consider the U.S. state involved, consider the various parameters and with Belen Marcos and the VINCI Construction teams, we will review these.
Unidentified Company Representative: [Interpreted] Thank you. One final question from Santander. You have the floor, sir.
Unidentified Analyst: I have a couple of [Technical Difficulty] why in the world the stimulus plan has been removed from your outlook statement? I believe this was something you alluded to up to the Q3. And I was wondering if this reflects that you don’t believe this can be a tailwind, particularly from 2021 onwards, or if you just believe there could be delays to the various stimulus plans? And secondly, in airports, could you tell us if VINCI Airports could be eligible for economic relief packages in any of its concessions, be it concession extensions or reductions in concession fees in many of the most important airports? Thank you.
Xavier Huillard: [Interpreted] I’ll let Nicolas Notebaert talk about airports. I’ll repeat what Pierre Coppey said earlier about the motorway stimulus plans. Pierre Coppey said earlier, yes, there was an opening broadly when the new Prime Minister came into office, Jean Castex. There was an opening. So we met a great deal, many times with the transport ministry to craft an ambitious plan, which would be compensated by extending the lifespan of concessions. We hoped, we hoped we’d begin to do things in this area, but you’ll remember I was the first to say, it’s not just because we’re having talks that they will come to fruition. What happened is what we had feared. The discussions, the talks were halted. Pierre Coppey mentioned it might have been to some degree, because of a new fairly critical report, over-the-top report issued by a Senate committee regarding motorways. And France has become accustomed to this type of report in the past 10 years. Now, more broadly, regarding country stimulus plans, the stimulus plans are ambitious, particularly in France. They’re very green, which is a very good thing. That’s going to involve us, but as often, they’re very sophisticated in the way they’re crafted, but they’re not very responsive and quick to implement, which is to say, we don’t yet have the initial beneficial effects of these stimulus plans, which will, in the end, involve us. But so far, it’s not the case. Personally, I’m pushing for the pandemic due to – we’ve seen the pandemic in the second and third waves, and I’m pushing saying that it would be beneficial to consider additional additions to the sophisticated stimulus plans from last summer, supplements to tackle housing, which was the big aspect forgotten about in the first stimulus plan in France. Next, we need to change mindset. We need to change the way we do things, and really bring this down to the local, the municipality. This municipality that’s crucial. They’re the ones that know where the spending needs to take place. They know how to spend quickly. As Pierre Anjolras said earlier, municipalities need to have the resources and be given incentives to develop CapEx. There are the needs in the municipalities. They exist. You just need to motivate them, boost them and give them the funding and the incentives to trigger the movement, so that the local municipalities can really move toward local investments, which, of course, we are very interested in. Regarding Nicolas’ subject. He’ll come in on this. Nicolas?
Nicolas Notebaert: [Interpreted] We have very different types of contracts in terms of timing and ways and means for airports. Right now, we’re in a contractual dialogue everywhere on the ways and means of taking into account the economic situation at airports. At this juncture, we’ve actually obtained hard cash, 3 compensations; in Brazil, Salvador de Bahia Airport, full compensation we received in Brazil; Sanford-Orlando also, and I mentioned earlier, the most important amount; CapEx contribution from Japan. This isn’t to say that in other countries that the contracts, things will be done as per the ways and means in each contract. We’ve got ongoing dialogue and there are different possible outcomes. These are underway for the other airport concessions.
Unidentified Company Representative: [Interpreted] Coming to the end of questions on our list. End of questions.
Xavier Huillard: [Interpreted] Well, if there are no further questions in the Q&A, it remains for us to thank you for tuning in, by hoping like last time that we’ll be able to meet in the flesh for our H1 results in 2021, because we miss you. Take care.